Operator: Welcome everyone to Barrick Mining Corporation's third quarter 2025 results presentation. At this time, all participants are in listen-only mode. As a reminder, this event is being recorded, and a replay will be available on Barrick Mining Corporation's website later today. I will now turn the call over to Cleve Rickert, Head of Investor Relations. Please go ahead.
Cleve Rickert: Thank you, Mariana, and good morning, everyone. We hope you have had an opportunity to review the press release we issued before the markets opened this morning. This presentation deck is also now available to download on our website. Presenting our results today are Mark Hill, interim CEO and Group COO, and Graham Shuttleworth, Senior EVP and CFO. Other members of Barrick Mining Corporation's management team will be available after our prepared remarks for Q&A. Before we begin, please note that we will be making forward-looking statements. This slide includes a summary of the significant risks and factors that could affect Barrick Mining Corporation's future performance and our ability to deliver on these forward-looking statements. This material is also available on our website. I will now hand it over to Mark.
Mark Hill: Okay. Thanks, Cleve. I appreciate everyone joining us this morning. So as Cleve pointed out, I am the interim CEO and Group COO. Since taking on these roles, I have met with the teams and visited most of the key sites to review performance and assess what we can do differently at Barrick Mining Corporation. Bringing a stronger emphasis on safety and operational performance. The quality of our assets is undeniable, so we are undertaking a review of our operations from the bottom up to ensure we have the right teams and processes in place to safely, most importantly, and consistently deliver value going forward. We are about halfway through that review, and we will provide more details at our full-year results in February. Since assuming this interim CEO responsibility, it is becoming increasingly clear to me that the most significant opportunity is at our gold assets in North America, particularly through improved performance at MGM coupled with our gold discovery at Fourmile. Turning to our performance in Q3, we posted strong operational and financial results and logged several company records, including adjusted earnings per share and cash flow. Production increased from last quarter and costs dropped, which combined with a higher gold price drove a significant increase in our free cash flow. We increased our base dividend by 25%. Dividends and buybacks combined in the quarter were a record quarterly cash return to shareholders. Asset sales support an expanded $1.5 billion US buyback program. On top of all this, our updated PEA confirms that Fourmile is arguably this century's most significant gold discovery. Despite this very strong quarter for business, it was unfortunately overshadowed by three fatalities. One at Goldrush, one at Bull and Hulu, and one at Kibali, which was a result of an incident that we reported in Q2 this year. Firstly, I would like to extend our sincere condolences to the families and the loved ones of our three colleagues. Secondly, I want to highlight to everyone that we are conducting a full investigation into these incidents so that we can put systems in place to guarantee everyone goes home safely every day, which is my commitment. Obviously, safety needs to be the number one focus at Barrick Mining Corporation. We are reviewing our safety culture and structures to ensure we embed the right principles at all levels of the organization to achieve our goal of zero harm. Looking at the business performance in the quarter, gold production increased 4% over Q2, primarily driven by higher grades at Kibali, higher throughput at Cortez and Turquoise Ridge, and a record high throughput at Pueblo Viejo. We expect continued quarterly growth in Q4 in line with our 2025 plan for a steady production increase throughout the year. Higher production volume helped drive our gold cost metrics per ounce lower across the board, despite the pressure on our cash costs from royalties associated with the higher gold prices. Higher volumes on lower costs translated into a 25% quarter-on-quarter increase in our attributable gold EBITDA, demonstrating significant operating leverage from a 5% increase in the gold price. Copper production was slightly down from Q2 on the back of a September shutdown at Lumwana, which was in line with our preventative maintenance programs. We expect both gold and copper to deliver within their respective production guidance ranges for the year and on cost guidance after adjusting for the royalty impact from the higher gold prices. Now I am going to hand it over to Graham to discuss our financial highlights. Thanks, Graham.
Graham Shuttleworth: Thanks, Mark, and good morning to everyone. Barrick Mining Corporation's third quarter financial performance was exceptionally strong, setting company records for operating cash flow, free cash flow, and adjusted net earnings. We continued to fund our growth projects with disciplined budgets, resulting in cash flow more than tripling from quarter two. We again ended the quarter in a net cash position, supporting an additional performance dividend, an increase in our base quarterly dividend, and a significant increase in our share repurchases. Looking at how our performance has trended this year, the combination of a higher gold price, production volume growth, and lower unit costs per ounce delivered higher margins and a 20% quarter-over-quarter increase in Barrick Mining Corporation's attributable EBITDA. This translated to a 274% increase in free cash flow, enabling us to repurchase $598 million of our stock, and we increased our base dividend by 25%. I will discuss capital allocation more in a moment. As Mark highlighted, quarter three was a company record for cash returns to shareholders. We ended the quarter in a net cash position, and at today's gold price, we expect quarter four will be even better. This is all before the Hemlo and Tongon asset sales, which we expect to close before the end of the year. Looking at our capital allocation framework, so far in 2025, we have generated $5 billion in operating cash flow. We reinvested more than $2 billion back into the business, paid $596 million in dividends, and exhausted our $1 billion repurchase authorization. Barrick Mining Corporation has three capital allocation priorities, above and beyond our long-term operating plan. First, maintain a strong balance sheet, keeping us in control of our destiny through commodity price cycles. We target zero to modest net debt. Second, we invest in accretive growth, with a disciplined focus on cash generation and sustained value creation. Third, we return excess cash to shareholders, balancing dividends and buybacks depending on our share price and valuation. Given the confidence in our business, we are increasing our base quarterly dividend by 25% to 12.5 cents per share. For the quarter, the board has approved a 17.5 cents per share quarterly dividend, consisting of the higher base dividend and including a further $0.05 per share performance dividend. Additionally, given strength in operating cash flow and the cash from non-core asset sales expected in the fourth quarter, the board has authorized a $500 million increase to our existing share repurchase program, which we expect to execute on further in quarter four. Let me now turn the call back over to Mark for more detail on our regional performance in the quarter.
Mark Hill: Okay. Thanks, Graham. Starting with North America, Barrick Mining Corporation's value foundation, gold production increased 4% from Q2, driven by improved performance at Cortez and Turquoise Ridge. Cortez saw a significant increase in leach pad production in line with the mine plan. Turquoise Ridge production was driven by increased throughput at the Sage Autoclave following the maintenance we undertook in the first half of the year. At Carlin, roaster throughput was negatively impacted by some unplanned downtime at the end of the quarter. Importantly, all MGM sites reported lower unit cost per ounce, and North America's attributable EBITDA increased 19% from Q2. NGM is our most important asset and is the foundation of Barrick Mining Corporation, contributing more than half of our Q3 attributable production. It is on track to achieve full-year production guidance and is central to delivering value to our shareholders. As most of you will know, we believe Fourmile is one of the most significant gold discoveries this century. We currently have 16 drill rigs on the site, and we are on track to double the existing resource this year. We have also increased Fourmile's exploration budget by a little over $10 million for the remainder of 2025. This slide highlights the opportunity. The zone circled in red is our existing resource. The black dotted area is what we expect to convert to resources this year. The region in green and beyond is all the upside. Looking ahead, we expect to have 20 drill rigs on the project next year, and we plan to commence the Bullen Hill decline development towards 2026. This will allow us to proceed with the feasibility study. On the back of the recent drill results, we updated our Fourmile PEA in September, highlighting a rare combination of grade, scale, and exploration upside. Advancing this project is obviously a key priority for the North Region and team, but also for Barrick Mining Corporation as a whole. Turning to the Latin America and Asia Pacific region, gold production was in line compared with Q2 as planned. Veladero is performing well against its targets, with a typical winter seasonal decline offsetting the record quarterly throughput at Pueblo Viejo. PV performed well in Q3, with processing throughput up 7% quarter-on-quarter, achieving record high throughput in Q3 with the highest quarterly production since 2022. Our focus is now squarely on driving improved recoveries going forward. All assets in the region are on track to meet their guidance for the year, including PV. Moving to Africa, Middle East, gold production showed the largest quarter-on-quarter increase of all the regions, rising 8% from Q2 on the back of a 15% increase at Kibali. Higher open pit mining volumes and grades uplifted Kibali's processing grade, as that operation heads into its expected strong Q4 delivery. Production at North Mara is up 3% from Q2, as both the underground and open pit exceeded expectations. Bulle And Hula was flat. Regional costs were down across the board, resulting in an impressive 65% quarter-on-quarter increase in attributable EBITDA. Now turning to copper. Production declined slightly from Q2 due to a plant shutdown in line with the plan we shared for Lumwana in September. We expect Q4 copper production to be similar to Q2, delivering annual results for our copper business within guidance.
Mark Hill: As we have discussed throughout this call, Barrick Mining Corporation is in a good position to deliver on our plans for the year. Shown here, gold production is tracking in the bottom half of its guidance range, and copper production is tracking to the midpoint. Also note that the gold production guidance includes Tongon and Hemlo, and we expect to have these sales conclude before the year-end. After adjusting for the year-to-date higher gold price, our total cash costs are also tracking within guidance. As you can see, copper costs are already within guidance, and we are expecting Lumwana to report a strong finish to the year. Before I close, I just want to emphasize that our near-term focus is on safety and operational performance. We will adjust things internally as necessary to create value for our shareholders and deliver on our guidance. This company has a strong portfolio of assets with Nevada at its core. Nevada continues to drive more than half of our production from a low-risk jurisdiction. We have long resource lives and continued opportunity to replace the reserves we mine. We have some of the best growth projects in the world currently in execution. We have a strong balance sheet that is returning excess capital to the shareholders and funding our growth. We have an excellent global team of people who are empowered to deliver on our strategy. As we progress on our operational review, it is confirming to me that the value creation opportunity across the portfolio, especially the potential for North American gold assets in Nevada and the Dominican Republic, is significant. As I have said, Nevada is the core of our company, as it continues to deliver more than 50% of our production with an extraordinary opportunity for growth at Fourmile. We will be unwavering in our focus to drive value creation in Nevada. Thank you, everyone, for your attention. I will now hand it back to the moderator for the Q&A session.
Operator: Thank you. The Q&A session will use the raise hand feature in Zoom. If you would like to ask a question, click on the raise hand button at the bottom of your screen. Once prompted, please unmute yourself and go ahead. We will now pause for a moment to assemble the queue. Our first question comes from Fahad Tariq at Jefferies. Fahad, your line is open. Please unmute and go ahead.
Fahad Tariq: Hi. Thanks for taking my question. On the bottom-up operational review at Nevada Gold Mine specifically, can you just give us maybe a framework for what you are looking at or what the team is looking at? Specifically, what is incremental versus the recapitalization efforts that have already been completed? Including the new fleet, investment, reinvestment in the roasters, autoclaves, and so on. A lot of work has already been done, so maybe just provide what is incremental in this review.
Mark Hill: Okay. Thanks for the question. So, look, the operational review is obviously we are trying to stabilize and make more consistent with our delivery through NGM. We have gone back and we are building those plans up from right from the base again, and it is going to incorporate, obviously, the mining efficiencies, utilization, and it is also going to, more importantly, include our maintenance approach, our planned maintenance, and the expected outcome of this so we do not have these unexpected surprises like we had at Carlin this quarter. We are just trying to stabilize the operations and make sure we have everything in place so that we can deliver quarter on quarter.
Fahad Tariq: Okay. And then maybe as a follow-up, just on the maintenance point. So in the MD&A, it at Carlin, there was excessive scaling at the Gold Quarry roaster. Is that something that was not captured in the first half maintenance? I believe both roasters had their annual shutdowns in the first half. Or did the buildup happen after that?
Mark Hill: Okay. Look, Henri, maybe you are better positioned to answer that. Please.
Henri Gonin: Yes, Mark. Henri Gonin at MGM. That buildup of the scaling happened after the shutdown at Gold Quarry, and it was unforeseen, but it has been taken care of now.
Fahad Tariq: Okay. Great. Thank you.
Mark Hill: Thank you.
Operator: Our next question comes from Matthew Murphy at BMO Capital Markets. Your line is open. Please unmute yourself and ask your question.
Matthew Murphy: Hi. Mark, Graham, Cleve. Thanks for the presentation. Mark, congrats on the interim CEO role. Also interested in this operational review. How should we think about what the output of this review might be? Like, does this include a review of medium-term guidance, and can you be in a position in a few months to have a different view on that?
Mark Hill: Okay. Thanks, Matthew. Well, look, the review is obviously, like I said, so that we can be more confident and we get more predictable outcomes from quarter to quarter. That will obviously feed into the budget next year, and we are not expecting any major changes on that at the moment. But it is just to try and understand where there is opportunity. So even down to the things where we say we have replaced reserves every year, this review will also include looking at maybe stepping out and drilling and seeing if there are other opportunities that we can find within the portfolio around the current assets rather than just replacing reserves. So maybe a longer-term goal, but also something we would be looking at. But the primary focus is to get the planned maintenance in place so that we can make sure we just consistently deliver on our quarterly guides.
Matthew Murphy: Okay. Thank you. And then one other follow-up I noticed in the MD&A that some resequencing of Record Deep CapEx, and they are just interested in what is happening there. And when you might close the project financing.
Mark Hill: Okay. Let me hand over to Graham to that, Matthew.
Graham Shuttleworth: Hey, Matt. Matt, we alluded to this even last quarter. But, really, it is just a product of the work that we have been doing with Fluor, who came on board in the middle of the year as our EPCM contractor, and they have been looking at the specific timing of when we place orders and, therefore, the follow-on impact to that is just on cash flow. So really, what we have done is we have rescheduled some of the cash flow that we were expecting in '25, and we have shifted it across '26 and '27. So there is no impact on the overall project schedule or the total capital schedule. It remains consistent. It is just a timing issue as we move forward. In terms of the financing itself, we are very well advanced with the lenders. The remaining piece of the puzzle is US Exim, which is an important part of the lender group. Unfortunately, with the US government shutdown, they have not been able to sign on the dotted line. But as soon as the shutdown lifts, we will be reengaging with them, and we still expect to be able to sign that financing by the end of the year.
Matthew Murphy: Okay. Thank you.
Operator: Our next question is from Daniel Major at UBS. Daniel, your line is open. You may unmute and ask your question.
Daniel Major: Hi. Mark, Graham. Can you hear me okay?
Mark Hill: Yep. Great.
Daniel Major: For the questions. So, yeah, two questions. One on the portfolio, great to see more progress and realizing particular value for Hemlo and Tongon. Is there any other potential areas of the portfolio following kind of senior management change, etcetera, that you see as opportunities? Is there any processes ongoing for any other assets in the portfolio?
Mark Hill: Well, look. No. Not at this stage. As I said at the start, the focus is really on The Americas and MGM and PB and getting those up to where we need them and delivering on the Lumwana expansion and the RecoDick construction. So I have not really focused on anything else at this point, but since September when I took out.
Daniel Major: Okay. Thanks. And then maybe two questions on the NGM dynamic. Firstly, with respect to dialogue with the JV partner around Fourmile and kind of at expiration depth if we look at your slide 11 to the right-hand side of the divide between the Nevada Gold Mines below Goldrush and Fourmile. Has there been any update on kind of results within the JV in that zone recently? And has the dialogue between the two parties changed at all? And could that potentially result in discussions around stage two vending for Fourmile?
Mark Hill: Okay. So, look, just to maybe talk to Fourmile for a minute now. Obviously, as you are well aware, at some stage, that will end up in the joint venture with Newmont. I mean, Newmont is well aware of Fourmile, and they are well aware of all our current operations as our joint venture partner. But that is not going to be until we finish this drilling, get those declines in place, and basically deliver a feasibility study, and then we will discuss how that earning will work with Newmont. And then on the other question, I do not have any update on any more results. Yeah. I do. Last.
Graham Shuttleworth: No material changes, Dan.
Daniel Major: Okay. That is useful. Thanks. And then maybe one final one just I guess, directionally thinking about MGM into next year. Do you incrementally expect kind of significantly higher production, or would it be a flatter profile at a high level next year? Obviously, I guess you will give the guidance for the Q4.
Mark Hill: Yeah. We will give the guides with Q4, but it will be at this stage, based on what I thought, it would be relatively flat, I would have.
Daniel Major: Okay. That is clear. Thanks a lot.
Mark Hill: Thanks, Dan.
Operator: As a reminder, if you would like to ask a question, click on the raise hand button at the bottom of your screen. Our next question comes from Tanya Jakusconek at Scotia Capital. Tanya, your line is open. You may unmute yourself.
Tanya Jakusconek: Daniel, we cannot hear you.
Operator: You cannot or you cannot?
Tanya Jakusconek: We can now.
Operator: Okay. Good. Oh my god. Good. Thank you.
Tanya Jakusconek: Good morning, everyone. Thank you so much for taking my questions. I am just going to circle back to the review, Mark, that you have been doing. You said you went to visit most of the operations and met with most of the team, and it sounds as though the focus for you is just getting this predictability on the maintenance programs to really deliver quarter on quarter delivery. When you did all of this, and I know when you go around and look at things, did you have to make any management changes that we should be aware of?
Mark Hill: Thanks, Tanya. No. Look. At this stage, that is not what it is about. Like, I mean, the team in Nevada, you are probably both familiar with anyway. But, look, we have a strong team. But there are obviously some gaps in the planned maintenance and things because we cannot keep having things go wrong unexpectedly like we had at Carlin. So I do not think it is about necessarily people changes. It is just about getting those plans in place and making sure they are solid and we can rely on them going forward. And, look, the other obvious just want to bring that in. The other reason I was obviously in Nevada is, I was there for the investigation into that fatality because that is the other big priority that we have got to get on top of, which I am sure you would agree. And put some changes in place to address that.
Tanya Jakusconek: Yeah. I was just gonna ask, Mark, because that is three fatalities is a lot. I was just wondering, like, as you look and reviewed the asset bases, like, are there significant changes to the procedures that need to be done? And is the, you know, higher turnover at Nevada Gold Mines, you know, obviously something that you are gonna focus on as well. In terms of health and safety and improved productivity.
Mark Hill: So, Tanya, I do not think it is a gap in our processes and procedures and standards. I mean, we went through this, as you know, in Latin America in 2022 when we had that fatality at PV. And look. What I think it is, I think it is about culture. I think it is about leadership. I think most of those systems are in place. And I think they are solid. And, we are just gonna have to reset and get everyone on the same page that safety is the number one priority of this company. And as you would be aware, the minute we get safety in line, normally, what you see is you see an uptick in production and overall just, more efficient operations. But, look, let me just hand it over to Graham a minute as well because he has been deeply involved with this if he has got any additional comments to that.
Graham Shuttleworth: No. Thanks, Mark, and thanks, Tanya. I think you know, Mark has hit it on the head in terms of the leadership component and specifically when we talk about that, I think is the supervision in the workplace. We believe we need to get more face time with the people underground in the process from our supervisors. And in some of the reviews and the investigations that we have obviously conducted, it has shown that perhaps some of the supervisors have been burdened with administrative tasks too, so we need to get them back into the field. I think also on reflection, not only based on these fatalities that we have seen, but I think in the data that we have been collecting over the last while, the better part of three years now, I mean, you would have seen how our total recordable injury frequency rate come down year on year but that is contrasted by, you know, the number of fatalities we have had in the last couple of years. And clearly, there has been a focus on the lagging indicators and driving that down from an injury perspective, and we have missed something in terms of the hazard recognition, particularly on the fatal risks. And I think more focus on the leading indicators is key for us. It is something we have recognized, and you may have remembered from some of the other presentations that we put together that we have prioritized leading indicators. And one of those programs was the critical control verifications that we would do, which really is engagement in the field people conducting tasks that have a fatal risk associated with it. And although we have seen a great uptake across the group, in excess of 86,000 rather CCVs completed year to date. I think what we now have to focus on is the quality of those. So that we are ensuring that everyone is learning from them, that they are recognizing the hazards in the workplace associated with those fatal risks. And then I think another aspect that we have highlighted and touched on and debated over the last while is you know, I think our safety team from a group perspective, although we firmly believe safety is a line function and must be incorporated at a site level, at a group level, we do need a few more resources to drive some of these initiatives and plans. To focus on things like the leading indicators, the competency-based training that we have highlighted and getting the supervisors back into the field. So I think in a nutshell, those are some of the focus areas, but we have obviously got a plan and as Mark has mentioned, this is our number one focus for the team, the entire team.
Tanya Jakusconek: Yeah. That is good to hear. You know, focusing on the safety. Maybe one last question for me, Mark. It sounds as though you have put the pause you have hit the pause button on any potential asset sales. I know we you know, previously had talked about maybe Mali was for sale. Has that paused as well?
Mark Hill: Well, I think Mali, my focus, Tanya, I do not know whether you have read some of the reports. But, look, my focus is on getting these four people out of jail. So that is what I am working through at the minute. I mean, they have been incarcerated now for, what, eleven months. So my focus is on that. Rather than anything else in Mali at the minute. And if we get that achieved, then obviously, we will look at restarting that operation. As you know, we still have people on-site doing the care and maintenance. So we could restart that operation. But the focus is we have to get those people out of jail or my focus anyway.
Tanya Jakusconek: Yeah. We hope to get them out as well. Thank you.
Mark Hill: Thanks, Tanya.
Operator: Our next question comes from Anita Soni at CIBC World Markets. Anita, your line is open. You may unmute and ask your question.
Anita Soni: Hi. Can you hear me?
Mark Hill: Yep.
Anita Soni: Okay. Thanks, Mark, Graham, and Henri. So I am gonna focus in on PV at first. So previously, Mark Bristow had talked about the degradation of the PV stockpiles. Could you give us an update on that? And if you know, if you have made any progress there and what that could mean? In terms of resequencing those stockpiles to be processed earlier?
Mark Hill: Well, Anita, just yeah. Thanks. So, look, the recovery, as I said, is the focus. Right? Because I think we have broken the back throughput. You would have seen we have had record throughputs at PV now. So it is all about recovery. Actually, I have got Hatch on-site at the minute. They are doing an independent review for us as well. And I think there are several moving parts and not being a metallurgist, what I can say to you, obviously, the handling of those stockpiles, as you pointed out, is absolutely critical. So it is how we blend that feed going into the float circuit so that we can make sure that we do not get wild swings in our recovery throughout the day. So look. There is a lot of things going on and I think what we need to do is get real-time data back to the operators so that we can adjust it to and better control what goes into the float circuit. So I know that is probably not very specific for you, but that is sort of the situation we are in at the minute.
Anita Soni: Can just so I understand, because the second question was related to the recovery rates of PV, which seemed to be undershooting what you had guided to earlier this year by about five percent or six percent. Are you processing any of these lower grade stockpiles right now, or is it just the, you know, the prior like, the prior targeted grades and I guess, direct or feed that?
Mark Hill: Well, it is a blend of fresh and stockpile material that we are putting through the plant now. So it is a as it always has been, it is a combined feed strategy.
Anita Soni: Alright. Maybe I will get some more detail from you tonight at the dinner. And then the second question that I had was with respect to the collars. I must say I am a bit surprised that you guys have put on collars. I think it is about I realize it is only about 10% of the production, assuming, you know, prior estimates. But why did you guys put them on, and why not stand levered to the gold price?
Graham Shuttleworth: Hi, Anita. It is Graham. Sorry. Apologies. I am gonna stop calling you, Mark.
Anita Soni: Or Tom Palmer. Which one is even better?
Graham Shuttleworth: That is a toss-up. No offense to Tanya. Anita, yeah, thanks. The collar was put on at a time early in the third quarter. At a time of record gold prices associated with a potential strategic opportunity which ultimately did not close. I think it is important to realize that, as you point out, this is less than 10% of our production. And, you know, the top of that collar is over $4,300 per ounce. So, you know, at current record high gold prices, we are still fully exposed to these current record high gold prices. And, you know, to put it in perspective, even if the gold price were to go to $5,000 per ounce, we would still have 99% exposure to the spot prices. So it is a very small position. It is not something we intend to do going forward. It should not be read as a change in our strategy with respect to hedging. It was a product of a specific situation, which ultimately did not transpire, but we are comfortable that those positions are not going to have a material impact on our financial results.
Anita Soni: Okay. So now I am intrigued. Strategic opportunity, was it acquisition or divestiture?
Graham Shuttleworth: I think if I was gonna tell you that, I would have told you.
Anita Soni: Alright. That is a sneaky answer. Okay. That is it for my questions. Thanks.
Mark Hill: Thanks, Anita.
Operator: Our final question comes from John Tumazos at Very Independent Research. John, your line is open. You may unmute yourself and ask your question.
John Tumazos: Thank you. Mark, in terms of the big picture, which of your corporate policies are different than your predecessor? Certainly, we are all on the same page for cause and safety and maintenance, etcetera.
Mark Hill: Well, look. I do not think the strategy, John, has changed at all. I mean, you have obviously gathered my focus or where I see the most value is obviously in Nevada. So we are gonna build out those two growth projects we have. But then the next thing is definitely shifting the focus to America. And I have already started with that. Like, we are gonna spend a bigger proportion of our exploration as well in Nevada and North America. So I suppose it is not really a shift, but if you ask me where my attention is gonna be and maybe there is a little bit of a change, then it will be all the focus we are gonna put into North America. Because I do see a big opportunity there, and I do see that as the big project and the next big growth area for Barrick Mining Corporation.
John Tumazos: Thank you.
Mark Hill: Thanks, John.
Operator: Thank you. That concludes our Q&A session for today. Back to Cleve for any closing remarks.
Cleve Rickert: Great. Thank you, everyone, for joining us today. We look forward to speaking with you again on our full-year results call in February. And as always, please get in touch with us if you have any further follow-up questions. Thanks again very much.